Operator: Dear ladies and gentlemen, welcome to the Uniper Analyst and Investor Conference Call Nine Months Results 2024. At our customers' request, this conference call will be recorded. As a reminder, all participants will be in a listen-only mode. [Operator Instructions] May I now hand you over to the Executive Vice President, Investor Relations Sebastian Veit, who will start the meeting today. Please go ahead.
Sebastian Veit: Thank you, operator. Dear investors and analysts, good morning. I am pleased to welcome you to our interim results call for the first nine months. Today, I am sitting here with Jutta Donges, our Chief Financial Officer, who will lead you through the company's highlights and financial performance for the first nine months. At the end of the presentation Jutta will comment on the outlook for the full year 2024 and as usual there will be a Q&A session after the presentation. Now let me hand over to Jutta please.
Jutta Donges: Thank you, Sebastian, and good morning everyone. A warm welcome from my side and thank you for tuning in today. Before I start with the highlights of the nine month report, let me comment on the increasing reports in the press over the last weeks regarding a possible German government exit of its stake in Uniper. We welcomed the press statement of the Ministry of Finance in September that the German government is examining all options available to fulfill the exit commitment. The central option is a sale via the capital market. Please be reminded that all decisions concerning the execution of the exit can only be made by the German government. Let's now dive into the update of our nine month results. Turning to our nine month highlights on slide three, let me start with the main operational developments before I go into the details of our financials. First highlight, our business performance in the first nine months demonstrates our strong commercial capabilities and operational substance. We continue to make good progress in fulfilling the remedy measures obligations agreed between the German government and the European Commission, which must be executed by the end of 2026. Recently, we have formally launched the sales process for the German coal-fired power plant Heyden 4 and for our district heating business based in the Ruhr area. We are confident to fulfill the obligations before the given deadline. The de-carbonization of the group also took a decisive step forward in the third quarter of this year. With the decommissioning of our coal-fired power plant Ratcliffe in the UK and Heyden in Germany end of September and in coherence to our communicated de-carbonization pathway, we have closed coal generating capacity of 2.9 gigawatts out of 6.2 gigawatts in total. This moves Uniper closer to the end of our coal era and we are driving the transformation by putting considerable resources into developing new businesses. One focus area is dispatchable flexible power where we are preparing projects that can qualify under the regulatory schemes in the German and British markets. The German government has in the meantime presented a draft of its power plant strategy. Next steps after the recently completed public hearing procedure are the approval by the European Competition authorities and the completion of the legislative process. And to be very clear, Uniper stands ready to invest, but the final legislative steps need to be taken fast in order to realize the ambitious political targets. The Flexible Generation business is the DNA of Uniper and we are preparing hydrogen ready power plants new build projects for the planned auctions, the first one scheduled for the first half of 2025. Now let's move over to the second topic, our nine month results. Uniper's operating business performed very well in the first nine months and is still well above the run rate of what we consider a typical financial year and fully in line with our expectations. After nine months we report an adjusted EBITDA of almost 2.2 billion Euros and for adjusted net income a nine month result of almost 1.3 billion Euros. Please note that the interim result includes temporary effects that we expect to dissolve in the fourth quarter. The well-known carbon phasing effect had a positive effect of 140 million Euros on our nine month adjusted EBITDA but will fully revert at year end. Green Generation performed better than last year, especially nuclear, supported both by higher than planned produced volumes and overall higher achieved average prices compared to the same period last year. Uniper's financial base is solid after nine months of 2024. We had a net cash position of around 5.6 billion Euros at the end of the reporting period. In this context, we made an initial payment of over 500 million Euros to the Federal Republic of Germany in the third quarter 2024, as a result of the outcome of the arbitration proceedings regarding the long-term gas supply contracts with Gazprom. Coming to the outlook; as has been flagged previously and as can be seen from the earnings data, the tailwind for the operating business and this applies in particular to the two stellar performing Uniper segments, Flexible Generation and Greener Commodities, is fading. However, Uniper's transition strategy pays into it. We will combine our strength from commodity trading and optimization with new investments which aim to provide more stable and predictable earning streams in the contracted and regulated businesses. With respect to full fiscal year 2024, we confirm our outlook which we have raised back in August. Even though the earnings outlook for the fourth quarter looks unambitious at first glance, the weaker commodity price environment, but even more so, the reversal of positive effects from the nine month result forms the rationale to confirm our guidance for the full year. Before I will dive into the financial numbers, I would like to take this opportunity to update you on one of our strategic KPIs, our de-carbonization targets. Slide four, we recently performed a review of our strategy adopted in the summer of 2023 based on a transition roadmap and prioritized growth projects. In particular, we are now less optimistic about the timeline regarding the implementation of a green hydrogen economy. We observe a mood of caution among potential B2B customers to make a commitment for significant green hydrogen or ammonia supply offtake volumes. Also, the ramp up of hydrogen power plants is expected to come slower than initially assumed 18 months ago. As dispatchable power plants are only expected to be operated in a CO2 neutral manner at a later point in time than originally assumed, according to current proposals by the Federal Government eight years later, this changed setting has an effect on our de-carbonization roadmap in later years. We therefore are now targeting carbon neutrality for Scope 1 and 2 for the year 2040 in sync with our Scope 3 target. Considering our well advanced phase out of coal-fired power generation, we remain on track to achieve our carbon reduction target for Scope 1 and 2 emissions for the year 2030 of minus 55% compared to 2019. Also, our targets for Scope 3 remain untouched. With the next slide, I will underpin our firm commitment that Uniper continues to pursue its efforts to achieve a de-carbonized portfolio mix. In the third quarter of 2024, Uniper took a decisive step towards lowering carbon emissions with a decommissioning of large coal-fired power plants in the UK and in Germany. By the end of September 2024, around 2.9 gigawatts of our coal-fired power generation capacity was permanently taken off the grid. In the UK, with the closure of the four power plant units at the Ratcliffe side, the era of coal-fired power generation in the UK has come to an end. After the proposed sale of Datteln 4, Uniper will operate only one significant coal-fired power plant commercially until 2029 with more flex in the Netherlands. At the order of Germany's Federal Network agency and the TSOs, the coal-fired generation units Scholven B+C in the Ruhr area and Staudinger 5 near Frankfurt are put into a reserve scheme required until March 2031. Both plants are expected to be on standby with tiny generation volumes and carbon emissions. For Uniper's carbon footprint, coal would then no longer be a significant burden. Uniper, as one of Europe's major power producers with dispatchable coal and gas fired power plants, is fully on track towards carbon neutrality in 2040 and will have reduced our European generation carbon emissions by almost 80% in the 15-year period since the foundation of the Uniper company until 2030. And now to the highlights of the operating business performance on the nine months of 2024 and the outlook. As usual, let's start with a look at the financial highlights for the first nine months of the financial year 2024. As I said in the beginning, we have again achieved a very strong operating performance, which is below the record level of the previous year, but still well above what we would consider as a typical financial year. With an adjusted EBITDA of almost 2.2 billion Euros and an adjusted net income of almost 1.3 billion Euros for the first nine months, we have already achieved the middle of the outlook ranges for the full year 2024 that we updated last quarter. The IFRS net income came out below the adjusted net income. This gap stems from a variety of effects including mark-to-market results of derivatives, impairments and provisions. The calculation of the clawback to the German government is breathing with a net result and has been adjusted accordingly. A provision of approximately 2.5 billion Euros for the clawback is included in our latest balance sheet. We continue to have a strong economic net cash position of almost 5.6 billion Euros at the end of September 2024 reflecting the good operating cash flow of almost 2.6 billion Euros. I will now go into more details on the drivers that influenced the respective financial results. Let's start with the adjusted EBITDA on the next slide, number eight. This slide shows the key changes in adjusted EBITDA for the first nine months of 2024 compared to the prior year's first nine months. As highlighted during previous calls, the earnings from the Gas Midstream and Flexible Generation businesses are returning to more normalized levels after exceptional results in the financial year 2023. Nevertheless, the operating and financial performance this year remains at a very good level and we expect that the normalization of our earnings will continue. Now let's go through the individual effects from top to bottom. The largest negative year-on-year change comes from the Gas Midstream business, which is mainly driven by the lower gains for the procurement of Russian replacement gas volumes in the amount of almost 290 million Euros for the first nine months 2024 versus about 2 billion Euros for 2023 in the first nine months. Excluding these so-called curtailment gains, the Gas Midstream business delivered a result of circa 180 million Euros which is significantly lower than the previous year's earnings. Previous year the Greener Commodities Power Trading business also benefited from a very volatile price environment in an unrepeatable manner. The strongest segment compared to the nine month 2023, Green Generation generated an adjusted EBITDA for the first nine months which was roughly 150 million Euros better than the prior year. This is mainly driven by nuclear which achieved higher prices and more favorable hedging transactions plus higher volumes due to the better availability of Oskarshamn 3 and Ringhals 4. Overall, the nuclear result is 170 million Euros higher than previous year. The Green Generation sub-segment, hydro, is slightly negative year-on-year. We were able to achieve higher volumes followed increased water inflows. However, this positive volume effect was overcompensated by lower prices, especially in Sweden. Like in the previous quarter, Flexible Generation delivered an impressive operating contribution to group's earnings but below the previous year's record level. The extraordinary high spread we were able to lock-in in 2023 were not repeatable, which also led to lower generation volumes for both coal and gas. Accordingly, adjusted EBITDA for gas-fired generation decreased by 170 million Euros and for coal-fired generation by almost 370 million Euros. Please note again that the interim result includes temporary effects that dissolve in the first quarter. As explained before, Flexible Generation is supported by a positive carbon phasing effect of 140 million Euros on the nine month adjusted EBITDA reporting line, which will refer [Phonetic] at year end. Year-on-year, the effect is even larger as the carbon phasing effect was minus 140 million Euros for the same period last year. Let's now have a look at the development of the adjusted net income on the next slide. Slide number nine provides a reconciliation from adjusted EBITDA to adjusted net income for the first nine months of the financial year 2024. Starting with adjusted EBITDA of 2.2 billion Euros on the left. First, depreciation and amortization amounted to 458 million Euros, which is roughly 150 million Euros below prior year due to significant impairments, mainly for our coal fleet which were recognized at year end 2023. Second, Uniper had a positive economic interest result of 86 million Euros, which is well above a negative result of about minus 140 million Euros for the first nine months 2023. As in the first half, Uniper benefited from lower financial commitment fees and the high cash position that was partially invested, for instance, in short term interest bearing deposits. And third, taxes on the operating result amount to 507 million Euros, which translates into an operating tax rate of 28.1% for the first nine months of 2024. Overall, this brings us to a comfortable adjusted net income of over 1.3 billion Euros. Now, over to the operating cash flow. Slide number 10 shows the reconciliation from adjusted EBITDA to operating cash flow for the first nine months 2024. The operating cash flow came in at 2.6 billion Euros which translates into a cash conversion rate of above 100%. This is preliminary due to changes in working capital of 1.25 billion Euros. The lower working capital requirements are mainly driven by lower prices on the commodity markets leading to less capital employed in inventories for stored gas volumes and the reduction of coal inventories, mainly following the closure of Ratcliffe. Quarter-on-quarter, the provision utilization increased by more than 600 million Euros in the third quarter 2024. This reflects the initial payment of over 500 million Euros to the German government we had to make as a result of the outcome of the arbitration proceedings regarding the long-term gas supply contracts with Gazprom. Let's now turn to the latest figures of Uniper's economic net debt. Uniper's economic net cash position has risen from over 3 billion Euros as of December 31, 2023 to a very strong level of approximately 5.6 billion Euros as of September 30, 2024. This increase is in line with the positive operating cash flow which I explained on the previous slide. On top, Uniper has made investments of 379 million Euros. The other block mainly includes the changes of the pension provisions which decreased due to increased interest rates and a solid performance of the invested pension assets. With roughly 5.6 billion Euros, we continue to have a very comfortable economic net cash level. However, as already flagged during previous calls, this cash position will be affected by the payment obligation for recovery claims to the Federal Republic of Germany because of expected overcompensation as of December of this year 2024. The corresponding provision was reviewed and valued at 2.5 billion Euros at the end of the third quarter. Please note the exact amount of the payment obligation will be determined once the financial figures for 2024 are available and the funds are expected to flow to the German government at the beginning of 2025. Speaking of full year 2024, let's now turn to our updated outlook for 2024 on my last slide for today. All in all, we achieved strong results for the first nine months 2024 that are fully in line with our plan. Accordingly, we confirm our full year outlook for the current financial year 2024, which had been raised with our half year results in August. We continue to anticipate for adjusted EBITDA a range between 1.9 billion Euros to 2.4 billion Euros, and for the adjusted net income a range between 1.1 billion Euros and 1.5 billion Euros. As I said at the beginning, this outlook seems relatively unambitious compared to our nine month numbers. Looking at the fourth quarter, we expect the operating performance momentum to further normalize until year end due to weakening tailwinds of the market environment. Accordingly, a very good Q4 result from the previous year will not be repeatable, especially for the Flexible Generation and Greener Commodities segments. And furthermore, the nine month 2024 earnings were influenced by positive timing effects that will revert until year end. As I said before, a larger one is the well known intra-year carbon phasing effect of plus 140 million Euros, which currently supports the Flexible Generation segment. Ladies and gentlemen, as you can see, we have taken a major step towards phasing out coal. We are on track to deliver good results for the financial year 2024, which are below the exceptional prior year, but still above the run rate of a normal financial year. And with that, back to you, Sebastian, to kick off the Q&A session. Sebastian, please.
Sebastian Veit: Thank you, Jutta. We can start the Q&A session now. Operator, I'm handing it over to you, please. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Anna Webb from UBS. Please go ahead. .
Anna Webb: Hi, good morning. Thank you for taking my questions, two from me. So, firstly, can you give an update on the progress of the risk acquired asset disposals that you need to complete as per the EU requirements? Firstly, just an update on what remains to be sold and what progress there. And then on Datteln 4, I know you've got the sale process underway. Can you give any insight into what interest you're seeing for that asset? You may not be able to talk about specifics, but it's quite a unique asset, so it'd be interesting to hear what the market is like for that. And then secondly, a question on new nuclear. You're involved already obviously with nuclear in Sweden and there's been discussions in Sweden around the possibility of building new conventional nuclear reactors. Is this something you'd be interested in or are looking at? Do you have any thoughts on the consultations that have been put out? And also on small modular reactors, which I know has been in focus recently, is that something you'd look at in the Nordics? Thank you.
Jutta Donges: Good morning, Anna. Thanks for your questions. Let's start with the first one, the update on the disposals. As I -- and as you are aware, we have just recently formally kicked off the disposal process for Datteln 4 and for the district heating business. We invited potential buyers to submit non-binding indications of interest. As in all M&A transactions, I can't really comment on the level of interest, so please assume that you can understand that there's no further details that we can give on this. With regard to other disposals that we are working on and that need to be completed by the end of 2026, there is the expectation that on Gonyu, that is the sale of the Hungarian assets that we announced earlier this year, we are expecting this transaction to close over the next couple of weeks or few months, so this is still in line with our expectations. And then the other assets that we still need to sell, like OPAL or OCGT, that's a rather minor one, this is all with regards to the timeline in good shape. We are preparing those asset deposits and we are confident that we can fulfill the obligation from the European Commission to sell those assets in the given timeframe. On nuclear, Well, you know that nuclear in Sweden is core of our strategy. We stick to that. That has not changed. But we also said that it's not our strategy to invest into new builds. However, we are looking into the extension of lifetime as we have also publicly stated just recently. Does that answer your questions?
Anna Webb: Yeah, that's great. Thank you.
Jutta Donges: Welcome.
Operator: Our next question comes from the line of Ingo Becker from Kepler. Please go ahead.
Ingo Becker: Thank you. Good morning. I had a question on the political turmoil in Germany. The potential of a snap election, that is a change in government. Can we consider the 2.5 billion in remaining provisions that the amount you need to yet pay to the government as a very reliable estimate, or is there a risk that a new government could potentially look into this again and come out with a different figure? My second question would be if the strategy, the transformation strategy, that you announced in, I think in August last year, including your 8 billion CapEx plan, which currently is heavily skewed towards also system transformation investments in Germany and when we consider the plans that the CDU announced this week looks a bit a little different from what the current government is aiming for. Would you see a potential impact on the strategy announced last year from the changing government, or would you follow that independently of who sits in Berlin? Thank you.
Jutta Donges: Hi, Ingo, good morning. Good to hear you. The 2.5 billion provision, and just repeat what I said before, this is our best estimate as of 30th September this year with regards to our repayment obligation to the German government. This is based on a mechanism that has been agreed between the German government and the European Commission and this is not dependent on any political change or changes in the government. But that's an agreement that I would assume every German government would stick to and make sure that this obligation towards the European Commission is fulfilled. This number still can change, as we said in the beginning of this year, when we first built the provision on our balance sheet. This is a number that is updated on a quarterly basis and the full number will only be known by the end of this year, beginning of next year, when the full financial year 2024 numbers are final and done and dusted. And as I said, any political change has no impact on this one. The same overall answer actually is true with regards of our transformation strategy. We stated publicly a few weeks ago that we have looked at this 8 billion transformation strategy which remains intact. However, we will potentially move a little bit slower as we see that demand in particular on the hydro economic side is not where we expected it 18 months ago, so we are adjusting the pace of our transformation. And I can only repeat what I said before, we only invest money if we can earn a decent return and therefore this is depending on the project that we have in the pipeline and the financial decision that we will be taken, and this is not impacted by political changes. However, we are, when we talk about the Kraftwerke strategy, obviously dependent on the regulatory scheme and we still need for the legislative process to be concluded. But overall, our transformation strategy, and in particular the 8 billion to transform Uniper into a more greener company that is intact.
Ingo Becker: Thanks very much.
Operator: [Operator Instructions] Our next question comes from the line of Louis Boujard from ODDO BHF. Please go ahead.
Louis Boujard: Yes, hi, good morning. Thank you for taking my question. Maybe two on my side. First of all, regarding the, I would say the ESG topic and the concern regarding your carbon emissions, I was wondering looking at your slide five, if there was any possibility to think about maybe a coal foundation or something that could eventually enable you to speed up, notably regarding Scholven B+C and Staudinger on top of being in reserve so that you could fully decommission it. And also regarding Maasvlakte in Netherlands, is there any discussion that could enable you to speed up a little bit this going forward so that you could remove this asset from your current asset base in the next few years ahead of 2030? Another question also would be regarding the investment plan. As 8 billion CapEx, we know that this envelope is indeed maybe difficult to spend at the moment. You are very cautious at the CapEx level anyway. We see that you have a strong Flexible Generation in a strong foothold in this topic. So do you think that it could make sense to eventually expand this CapEx with external growth strategy on the pure players in renewables so that you could reinforce your capacity to grow going forward into something which would be more balanced between renewable and Flexible Generation and to provide you with additional growth potential? Thank you.
Jutta Donges: Hi Louis, thanks for your questions. Actually on Scholven B+C, as we are dependent on the German regulator who has asked us to put those assets into the national reserve, we have no way to speed up on this one. So we are dependent on what the regulatory bodies tell us. On Maasvlakte, well, the current plan is to get out of coal in Maasvlakte by the end of 2029. Obviously we look at this on a very frequent basis but no indication so far that we would change our plans here. With regards to your second question, I have to admit that I'm not fully understood the question. Could you please help me again with this one?
Louis Boujard: Yes, sure. The question is regarding the 8 billion CapEx plan. So it seems to be quite difficult to spend or at least it's difficult to find value creative project into this total envelope. So my question would be is it possible for you to have an eventually have part of this envelope that could be dedicated to some M&A in order to speed up your energy transition and to speed up the cleaning of your asset base going forward for future development, notably in clean generation and renewable assets?
Jutta Donges: Okay, thank you. Now I got it. Thanks for repeating the question. Well our transformation plan is based on organically transformation and organic growth. You know that we have this acquisition ban in place that does not allow us to buy any assets up to the end of 2026. There's also an exemption in the agreement between the European Commission and the German government that we could go to the European Commission and ask for a waiver of this acquisition ban. But as I said, the strategy is based on organic growth and we do not take into consideration M&A in particular when we look at our Flexible Generation segment. But we are prepared, as I said, to make a significant contribution with regards to the German power plant strategy.
Louis Boujard: Thank you very much.
Operator: Thank you. As there are no further questions, I'll return the conference back to Sebastian.
Sebastian Veit: Thank you very much, ladies and gentlemen. Thank you, Jutta, and thanks for the participation today. We conclude the call here and we will hear each other back end of February when we will present our full year results for the fiscal year 2024. Have a good remainder of the day. Thank you very much. Bye-bye.
Operator: This now concludes our presentation. Thank you all for attending. You may now disconnect.